Operator: Ladies and gentlemen, welcome to the Nabors Industries Limited Second Quarter 2009 Earnings Conference Call on the 22 July 2009. Throughout today's presentation all participants will be in a listen-only mode. After the presentation there will be an opportunity to ask questions. (Operator Instructions). I will now hand the conference over to Mr. Dennis Smith. Please go ahead
Dennis A. Smith: Good morning everyone and thank you again for joining us this morning. As usual we'll have about a one hour call. Gene will make some remarks about the quarter results and obviously the near and longer term outlook at this point in time. Then we'll open it up to questions-and-answers and end the call at about one hour time difference. Besides Gene and myself this morning, we also have Laura Doerre, our General Counsel with us; Clark Woods, our Chief Accounting Officer, Ziggy Meisner, Jerry Shanklin, Joe Hudson, Larry Heidt and Diego Smith (ph) from our E&P business.
Eugene M. Isenberg: What about Tony.
Dennis A. Smith: Tony too, sorry about that, hiding there. Sorry, Tony Petrello, our President and COO. I just want to remind everybody before we get started there is a set of slides on our website under Investor Relations under Events Calendar, there will be some of the supporting materials we will be talking about. Gives more detail on U.S. business and also of course as we are going to be talking about our outlook and so forth everything is consistent with forward-looking at the statements under the SEC Securities Exchange Act and as such things can vary. We encourage you to look at 10-Ks and Q filings for the risk factors there. With that I'll go ahead and turn it to Gene.
Eugene M. Isenberg: Thanks again. Again welcome to the conference call for the second quarter. I want to again thank everybody for participating this morning. As usual we have posted to the Nabors website a series of slides that contains details about the performance of the various segments of the company. Please refer to these as we proceed. I'll also point out that we had, what I think is an unusually detailed press release, which will pepper my presentation here. For the quarter, we were affected by several non-cash charges, which we essentially pre-announced. And excluding these charges the earnings for the quarter was $0.32 per diluted share. On this basis on operating income for the quarter was 144 million, down from 207 million in the prior quarter and 265 million in the comparable quarter last year. Results will likely deteriorate modestly in the third quarter. However for the full year, I think cash flow from operations is still likely to be strong enough, all things considered which we'll elaborate on that little later. We generate approximately 300 million in free cash flow. Also I'd like to briefly comment on the non-cash pretax charges, after which we can get into the more meaningful discussion of the financial results and outlook. The decision to look at the value of these assets is the result of our uncertainty or inability to determine the timing of an increase in commodity prices, especially natural gas, sufficient to permit activity levels that will in turn enable us to fully recover the value of investments that we wrote down or impaired. I'd also to emphasize that these are non-cash items, which do not impact the company's operations, cash flow from operations or liquidity. And frankly, they do not materially impact our debt-to-cap metrics either. Now let me turn to some of the more substantive parts of the business. However before I elaborate on each unit, briefly on each unit, I would like to make some general comments. As we all know this is a poor market. And as we all know, even though not everybody is going to admit it, none of us knows exactly when it will end. My own guess for what it's worth is that we'll see the bottom in the third quarter of this year, although I'm certainly not looking for a decent rebound. Much more important to us and I think ultimately to you is what we're doing right now, what's happening right now that will prepare us or indicate how we are likely to fare when the inevitably recovery does in fact occur? Let me share with you some of the things that we are doing or the things that are happening that give us reason for optimism. First, we're increasingly being called upon to perform high risk, high profile, technically difficult and frequently innovative drilling projects by our customers. Some of the more notable of these are for example, Exxon's super high visibility project, high pressure gas condensate recovery project in Point Thomson, Alaska. For a while this was on the press in Alaska everyday and most National Press everyday. And it was so timing and performance was so critical that Wisconsin (ph) was early on the getting a weekly up upgrade report on how things were progressing and fortunately they progressed satisfactory to all concerned, including us. And I think that will -- that's a good example of performance that all speak well for us down the road. We also completed a series of multi-wells, multi-lateral wells that kind of propelled us with their cutting edge AC coiled tubing/stem drilling unit in Alaska. This unit emerged from our long experience in Canada, where we steadily pushed the depth of these things from 1,500 to 1,800 meters initially to one in Alaska's now 15,000 feet to 15,000 plus feet And we have possibilities of having standardized rigs at 2,200 meters and we're marketing 10,000 foot rig. So this is a big success that gives us technological edge versus other folks worldwide. They are really looking at this stuff. And we are also involved in several different fleet front-end and engineering design studies, several of which we are getting paid for with major operators. Two of these will require 4000 horsepower versions of our proprietary MODS Rig, so this is another example of a unit that's not bearing (ph) so super welders, performing stuff that speaks to a much better future when things get better. We're also substantially drilling successfully -- excuse me, drilling with a MODS Rig, the first of its kind floating, drilling, productions storage and off loading, FTPSCO, pretty strange name in West Africa, which is basically is a tanker which was a well which put in -- we put a stabilized rig on it and its drilling and storing crude. And this is economically advanced advantageous and relatively small word applies to make us be broader application for this. But the point is in this leading edge technology we're the guys involved. We are also the leader in pad drilling. You guys who followed us for a while know that it's been decades since we first did pad drilling under our set (ph). We have modified and improved our technology there, first the US Rockies, the Canadian Oil Sands and now essentially all the British Columbia shale drills, wells are going to be drilled on this. And we have various kinds of these things and I think it's generally acknowledged that we have an edge. Another source of comfort for us is that our rigs are performing super well. We went through some of this last time and I won't go through it again, except to say that even in this quarter, Nabors rigs, PACE Rigs and main shaft rigs have drilled records virtually everywhere, new records in the Haynesville. Reduced cycle time for the leading driller in the Eagle Ford shale for whom we're providing, if not all most of these rigs and we also drilled the most feet in a lateral in the shale in Gulf of Mexico (ph). Shortest time to drill a 1,000 feet lateral feet in shale. So the fact is we are performing super well is pretty good. I mean that's what's happening now, even though the financial outlook is not super great now. Perhaps most importantly, the overwhelming conclusions from all these things is that Nabors is being increasingly selected by highly discriminative clients in key drilling areas. This has given us a leadership in the Haynesville, where our position is probably three times that of any drilling competitor. I think we Avery probably has the second largest number of rigs. We have a position there, we had a lead position by far in the Eagle Ford, where as I said a minute ago we are the most active operator there, all of them use (ph) mostly average our rigs, Joe.
Joe M. Hudson: It's all our rigs being operated in there.
Eugene M. Isenberg: We had all of these rigs, okay. And then the British Columbia, which is very promising but not very yet. And I'll get into that a little bit more when we talk about Canada. We've also been selected by Saudi Aramco to finalize the bulk of their incremental gas drilling, which as you know they are doing field gas drilling and switching from oil to gas in various place, which is -- require some more complicated rig and a little more drilling expertise. Equally noteworthy and I think this is pretty important, we now have or shortly will have a higher percentage of rigs working for major operators in the Lower 48 than any of our competitors in spite of the book work (ph) to the contract. Last quarter we reported on our success and once data where BPCO pointed out with compliments to performance of rigs that happened to be ours and that resulted in our getting essentially all the incremental rigs from BP there and elsewhere. Anyway let me turn to the units quickly. And Nabors Drilling USA, results for this unit declined to 70 million, business operating income is our key metric, during the quarter down from a 129 million in the prior quarter and a 134 million in the year ago quarter. Deal rigs declined to 143 from 193 in the prior quarter, and 242 in the second quarter of 2008. You may remember that we had an all-time high of 290, 3 or 4 earlier. The 143 rig deals 70 represents new rigs that an average margin of 11.5 and 73 represented older rigs which we're calling legacy rigs at 9.5. At quarter-to-date the margins were down approximately 1,000 to 10,250, approximately 1,350 of which can be attributed to lump sum terminations. I think to get your models right what I think what ought to do and we will have that available to you offline is look at the margins for new rigs and for the older rigs, two separate categories, look at them, X lump sum payments that aren't appropriate to the specific quarter we are looking at, and that will enable you to get the hard picture. Right at this moment, the rig count is 120 which we're getting paid for and 93 are actually returning to the rate. It appears that the rig count is stabilizing and should hold fairly steady head count levels. We do expect that the operating income for the third quarter might be down as much as 50% from the second quarter, but we think it's going to sort of level off there and frankly I don't see a much of a downside from here in the subsequent year either It's going to go down in the next quarter because activity is down. The margins, it's kind of stabilized because we have a fairly substantial number of -- we have 16 new rigs coming on and we still have a substantial number of rigs that are on contract not only through the end of this year, but next year we're going to have an average of 70 rigs on contract for the year which will mitigate the downside and hopefully by then there will be a mitigation of this supply demand imbalance of gas reserves. Let me switch to Nabors International, this unit reported a slight increase quarter-to-quarter in the face of falling commodity prices and credit crunch, both of which serve to negatively impacted, -- let me get right to the -- not cutting on this thing. We did have an improvement or we will have an improvement, modest improvement but an improvement this year over last year but it's going to be a bunch less than what we, not only started with but we led you to believe it would be. I think I'd that like to break this down into two broad categories, essentially the things that were beyond international's control and the things that we have probability for. Firstly, they were delayed and deferred contracts which are actually signed, well eventually be booked. Firstly let me tell you, we are probably 80 million below, what we hoped we would be and what we probably indicated to you we would be. In other words the projection for this year now is probably 80 million lower than the higher number we had given you. Some of that actually delayed contracts, the delayed which we are going to get so. If we have three years of stuff that we're going get quarter and quarter half from now compared to an average, it's not good but it's not the end of the world. And that number's probably goes to 30 million of the 80 million. We had, we and everybody else in the world had a significant hit in Argentina, where the company -- the problems were not company specific, there weren't even industry specific but we had $20 million hit. And the point is that if that continues, we'll just walk away from Argentina and I hope it doesn't. But again that I think, time is not good (ph) for lot of things but not that. We did have some execution problems that resulted in increased costs and delays on or off the table. And this was largely associated with couple of jack-ups and this number represented 15 to 20 million of the total cost. And the remainder of the 80 million is really due to, I think temporarily reduced activities in Mexico, Columbia and Libya. Mexico and Columbia are coming back already and I am pretty sure Libya will resolve their upfront money there and are substantial reserves. Again, let me just summarize this by saying that international is responsible for 20 to 25% of this -- the 80 million but the rest is potentially beyond their control and I personally don't think it's wise to use that as a measure of what's going to happen in the future, bidding in all international markets is very active and the modest recovery and improved prices has help a bunch and will help the bunch and we have done a whole bunch of things that are good and I think we'll have a payoff this year. For one thing this the one unit that we are sure won't go down next year and I personally think that will go up. We switch to Canada. Canada is not in great shape. We reported a loss of $10 million in operating income for the quarter we're talking about. But the good news about that is, in spite of the relatively low activity, we had a higher loss in the comparable first quarter last year when activity was significantly higher. So this talks to the ability or what we've actually done in reducing costs in Canada. But we have a way to go there. This year we expect to be making something on the order of 90% of what we did last year, something probably under $10 million again. All my metrics are operating income. There are however, encouraging signs, most of which I had mentioned to you before. One gas prices actually, inevitably in my view recover. We have repeated briefing; we have significant acreage in the corresponding (ph) shale, particularly on river, both our own account and our joint venture with Stone Mountain for the first reserves. We'll continue to work for the leading operators in the area. We have indication that most of those guys will start going late again, late in the fourth quarter. I'm not sure what we are going to do. But to my surprise that is an Exxon alumnus, Exxon recently made what I think is an atypical announcement of in the Wall Street (ph) of how great super bullish their Horn River acreage was. Exxon usually is not that explicitly bullish but also Exxon is now compared to our last quarter, one of our customers in that shale. And I repeated that recently there North side (ph) acreage they expect to have actually as many as two dozen rigs working there in a couple of years and it's a great play with the economics, which is kind of a big exception at the moment. Anyway, let me to switch to Nabors World Servicing. Nabors World Servicing is down this year versus last year and so like $6 million operating profit. I think we are looking for this to stabilize, they are trying things already that will be stabilized, or may be even up if you want to be optimistic because of 70 plus percent of our activity is geared to crude oil prices, and crude oil prices is a hell of a lot better than it was if it's in the -- close to mid 60ish these days and I think that will encourage activity. Nabors Offshore, weak gas prices affected operative cash flows and some suspension of activity was due to the hurricane season. So the results for the second quarter were decidedly not good, down even more than half, 50% from last year. We expect a low watermark we reached in the third quarter with much of third quarter recovery driven again by improved prices for oil which make up the bulk of our current Gulf of Mexico activities. This unit continues to be recognized for developing creators, growing concepts and we actually have one or two different front end engineering design contracts for which we are getting paid for two different operators, both of which are exploring a new generation platform drilling rigs for the ultra deep products. Nabors Alaska; this has done a whole bunch better since Benny took over. But the results for this unit have been down modestly from the prior quarter on seasonally well drilling activity. But slightly up for the same quarter last year. This year we look to do about the same as we did last year. And we've had some good news offset by, some bad news that keeps the numbers level this year. Two of our core rigs were suspended in the second quarter and this was offset by full year contribution side, we have two rigs that commenced operations late last year. As a result, as I said performance for the year should be a little better than the last year. I think the point I'd like to make here is the low prices in the year adversely affected Alaska. And while the prices are significantly higher now the majors don't turn around on a dime. So what's going to happen next year is going to be a functional, the price deck mainly BP, also Lexon (ph) and that will dictate the cash flow and that will dictate the activity in Alaska and having said all that, we -- I think Alaska is likely to be down next year from this year. I've already mentioned the two important factors that occurred in Alaska, away from the financials and that is the AC coiled tubing/stem drilling in compare which performs superbly and that we've discussed Exxon and Thomson issue for our project. Other operating segment, we think everything was essentially down. Buying was down, Canrig sales were down. Essentially the Alaskan joint ventures were down. The Canadian other than drilling stuff was down. I think the great potential and really the green shoot for this unit is Canrig's development of new products, their improved drilling efficiency and safety and the most significant one of those is ROCKIT. And ROCKIT is really a pure technology that is getting wider and wider acceptance. Not only is available in our rigs but Canrig is making decent money, providing that hot technology on a rental basis for third parties. Oil and Gas; Oil and Gas posted a $7 million operating loss for the quarter as low gas prices, combined with higher expenses related to the development of new products including new properties, including securing of leases, more incurred the increased production including proportion of decent hedging should help this unit have positive results for the rest of the year, but the year will be modestly, only modestly positive from an operating income view point but it will be positive. This year we have done a real good job in finding how drills cabins and getting them ready to get to market however it's really hard to get very optimistic right now with the current gas prices. And I believe might be that Nabors gets an overall negative impact in our valuation from what really are really good long term assets. So hopefully this will correct itself in the future with pricing, otherwise we will have to take some actions that will better capture the value of these holdings. Let me talk for the some of the other issues important, probably a super significant issue is related to the company's financial position. We did a $1.125 billion EMEA note at beginning of this year in January and what we've done since then is we've had our CapEx and we've cut cost every which way and some way we used that money to, the proceeds from the sale or the saving to buy back debt. We bought $750 million worth of debt face value of -- no 750 million for proceeds to buy debt so far as this year with the face value of 845. And if you recall, last year we bought $100 million face value at a discount. So altogether we've bought back around $950 million of debt at a $120 million discount from face. So we've reduce the debt and we reduce the CapEx at cost. And well, again all those things, I think however long realistically this downturn is likely to last I think we're comfortable financially as we have been in the past. In fact we have we don't have the revolver. We've been besieged by bankers saying the market will take more by itself. We have more available capacity, which I don't think we'll really need. But that puts us in a position where we can make acquisition, we have money available, funds available to make acquisitions or to invest in organic growth should the opportunity to do so arrive. I'd like to repeat again that we are continuing to take steps to reduce operating cost. The most difficult measures have been the reductions involving head count and compensation. The salary, you probably know the salary adjustments were implemented on a worldwide basis and the largest proportion was absorbed by our more heavy compensated management group while lower compensating guys were less. I think the other thing worth mentioning is that we operate on our tax loss in our U.S. tax return this year we will do it. And this is a result of a decline in operating cash flow, fairly substantial depreciations from our previous investments and the increased interest rate associated with this new borrowing that I have described a second ago. This leads us to a projected tax rate of 15% for the remainder of year instead of one in the high teens that we previously projected. I think on this tax rate impacts this quarter I think if we had lower U.S. income, we have some independent from a lower tax rate, I mean because we have international is lower tax rate than the U.S. So, if you have to less U.S. income even away from the last, we are going to have a lower overall tax rate. What happens, however, is we are projecting what we're forced to project, what the year's number is going to be in catch up in each quarter, so that we have a bigger impact on the third quarter. But in any event, 15% looks like it's going to be a reasonable rate for the rest of the year. Now very briefly summarize our position before we turn to questions. I think one of the two critically important things are, our financial position is solid, we have the fire power and the wherewithal in that to take advantage of opportunities that usually come in a situation like this, rather direct investment or acquisitions. And that just explains why that's the case. Now, I hope I've explained why the performance of each of our units, in terms the rig performance, the performance on critical projects and the acceptance by critical clients has indicated that we will pretty well, between pretty very well and very well, on a comparative basis, very well when this recession or downturn ends. I think that covers my prepared comments.
Dennis A. Smith: Vivian, we're ready to start the Q&A portion of the call.
Operator: Thank you very much. (Operator Instructions). And the first question we have is from Jim Rollyson of Raymond James. Please go ahead with your question.
James Rollyson: Gene, you mentioned looking for modeling purposes at the different types of rigs, when you look forward. Can you may be spend a minute just kind of refreshing our memory on what you're looking at for average margins today on the term rigs that you've got going through the next few years and maybe contrast that to what you're seeing in the spot market?
Eugene Isenberg: Joe, you can probably handle that.
Joe Hudson: Okay. The spot market obviously has been significantly impacted with the day rates. We're now pursuing in the spot market is probably 35% down from last year's high. When you're looking at margins anywhere, depending that you're looking at the recent increased activity has all been pretty much in shallow rig counts, plus Texas, Kansas, Oklahoma. There is no day rates when we have intended 10 to 10.5 or less.
Eugene Isenberg: That was the really legacy rates.
Joe Hudson: Oh yeah, they are all legacy rigs. So that's what you're seeing in that area. So you've seen a very low margin of about 1500 bucks max, in that area. In the -- we're going continue to see as we mentioned with our new rigs still coming out in 16 new builds. All are coming out at margins in excess of anywhere from 14 to 15,000 a day. So when you blend those, we're still looking at an average margin for the new build activity somewhere 12,000, 13,000 for the new build rigs.
Eugene Isenberg: And that number would be ex the lump-sum payment.
James Rollyson: Very helpful. Gene, you had also mentioned that the cost cutting in various ways and forms. Can you maybe talk about how much of those cost cuts were demonstrated already in second quarter results and do we have more of that to show up in the third quarter, second half of year. Now what are your thoughts are there?
Eugene Isenberg: Most of it is yet to come, frankly. So I mean, the cuts are already made. More of this going to come in, nobody is guaranteeing that there won't be additional cuts. We've -- the highest paid guys took the biggest cuts. We've laid off reluctantly, but out of necessity, and that will probably continue. We're down pretty substantial in our rig counts. And so what we have to do is at the overhead and cuts the semi-direct too. Some of the supervisory people that are related to it. So we have to do, what to do what we have to do. But there is more yet to come in it. It's a function of activity a little bit. Not the little bit, but some substantial expect. But we don't see, I think there are two things that are relevant here. One is, we don't see big V-shaped recovery in activity any time soon. And the other thing is, this downturn is so dramatic that we're not saying we got to be prepared for the upturn by spending money now, we do a little bit of that, but far less than we ever did in the past. So P&L is yet to see the full impact of the cuts we've made.
James Rollyson: Any thoughts, just a follow-up on where that might show SG&A kind of run rates, as you go through the second half once this is all done?
Eugene Isenberg: It will be lower. I can't tell you what it will be. Because that's a project in motion as we speak.
James Rollyson: Understood. Thanks guys.
Eugene Isenberg: Thank you.
Operator: Thank you. The next question is from Ole Slorer from Morgan Stanley. Please go ahead with your question.
Ole Slorer: Thank you very much for that. Gene, when you look around your business, whether it's oil directed drilling in North America or whether it's opportunities elsewhere on the planet, where do you expect to see the first sort of visible signs that activity at the leading edge is turning around?
Eugene Isenberg: I think the way I see it right now, I would guess, it might be a recovery from some of the -- what we probably short-term were temporary drops I am here to tell you. I think Mexico looks pretty promising for, really in near term. I would say frankly, it's largely international where the short-term losses will come. Now gas is really a philosophical thing. I mean, there are no super tangible signs that the balance is coming close. You can say that gas might be down a little bit. But that's a factor gas production in the low point area. But that's one factor. What's happening to the total demand of gas, which is about 90 (ph) grade. So, I can't see anything except long-term gas is under valued and might be down, and I don't know when that's going to change not in the near term essentially. So I would say international is the likely upside short-term.
Ole Slorer: International is a fairly bold term is it Mexico, where activities have been postponed, but is not coming back?
Eugene Isenberg: Yeah, I would say Mexico is definitely one of them.
Joe Hudson: We've also got North Africa.
Eugene Isenberg: North Africa as well.
Ole Slorer: And then with this incremental new project or is it at this point, project that got stalled that are coming back again. We're having Russia maybe being a bit more active, you had plans of going in there as when you think...
Eugene Isenberg: Yes, Russia. Go ahead, go ahead.
Joe Hudson: The most of them, have been stalled they're coming back, probably the biggest in event.
Eugene Isenberg: Who wants to know where?
Joe Hudson: I mean Mexico, Columbia is stalled, North Africa had some projects. And also in the Middle East. But essentially Russia, but Russia...
Eugene Isenberg: Russia, isn't going to be a big source of a bunch of revenues that's allow.
Ole Slorer: And in case of Saudi there was talk about taking down the rig count but then we're losing of a domestic gas. Is there any difference there between what you're seeing in terms of tendering activity between oil-related project and deep formation gas related projects?
Eugene Isenberg: There is definitely a switch. I don't know how successful. We know how we did on the last or how we willed it. But basically, we haven't been impacted at all. I mean, we had one rig that was down that went to Kuwait, back to back.
Joe Hudson: There is a temporary slowdown on the oil drilling, and there is some tender right now for income in oil drilling again. But the demand is really for gasoline. So rig hasn't changed any.
Eugene Isenberg: And the oil's got locked, the big chunk of it's integrated services.
Ole Slorer: And at leading edge and if we go back to the North America market, the U.S. market again, can you discuss the leading edge pricing trend. Is there any difference by region-to-region or is it pretty washed out everywhere?
Eugene Isenberg: I think, I think the Mid-Continent probably still the worst. And I think frankly, we're still getting decent margins on the good rigs that are coming up contract. As we explained last time, we switched the couple of the new rigs coming up contract for new builds and save money, save cost for the customer. And used it to expand our position with customers. That covers the project that we just yesterday another such deal. But I think the important thing is the new builds are really good as Joe said certainly looking whatever. Or if we negotiate that, we get the equivalent one way or another. And then, I think the new rigs that are up contract, they probably have five, six, $7,000 a day edge over the legacy rigs.
Ole Slorer: That much?
Eugene Isenberg: Yes. It gives performance. I think we discussed this people. But some of the legacy rigs can't work for zero, effectively in some of these shales.
Ole Slorer: Thanks for that update Gene.
Eugene Isenberg: Thank you.
Operator: Thank you. The next question is from Kevin Simpson from Miller Tabak. Please go ahead with your question.
Kevin Simpson: Thanks. I've got a couple. First, my back of the envelope said that you still consumed cash, I guess in the quarter, cash going down more than debt went down. So Gene considering you are looking at 300 million of free cash flow, when are we going to go through that inflexion point where that you're kind of clearly generating cash going forward?
Eugene Isenberg: Kevin, I said it precisely what we're looking at. What we are looking at is the free cash flow between now and May of 2011 when we will have almost a couple of billion dollars of debt pay out. When it happens I'm sure it's available but I can't -- I'm not up to date on when it happens. What I know is we've cut the hell out of CapEx and it's going to be further cut next year. And the cash flow is going down, but not as quickly as we are going down with the things that generate free cash flow. So basically the overall conclusion is that I can't tell you when exactly but I can look at I'll call later, but I think the critical, the important thing is that it's like without incremental borrowing we'll have cash enough to pay off 100% of the existing debt, some of which is due this August to May 2011. And in the process of doing that we'll take our net debt to cap down to high 20s for the first time. When that switches, I don't know. But we can find out and let you know.
Kevin Simpson: Okay, that's great. One, I was a little confused that maybe I just then behind the curve on this missed on the Saudi, the Saudi gas rigs, did you guys have success there or what happened with those tenders?
Joe Hudson: Those rigs are still pending and we -- but as far as I know, we still have a good chance to get something there.
Kevin Simpson: And, so do you have any sense on timing of that or is that it's just one of the things that just slide and it's hard to predict exactly when?
Joe Hudson: I mean, it's hard to predict. But obviously probably in the next couple of weeks, you should know.
Kevin Simpson: When they start, we can't tell.
Joe Hudson: Basically when we talked to them last time they were going to start pretty quick. So in the next three four five months in this year, there would be something
Eugene Isenberg: That's an edge we have in terms of relatively quick delivery.
Kevin Simpson: Okay and then I was -- just this one may be for Joe on when you're talking about new wells. For the new rigs that were cut lose and so have been on the market, have you been able to place any of those and are those and what kind of margins are you getting on them, I guess and what kind of work actually.
Joe Hudson: We have been able to place few back as Gene mentioned earlier. We've -- on the just we had 32 new build awards, I have to get the exact number but a lot of those rigs that have come down or actually have been placed back on those contracts, which in essence reduced our CapEx significantly. So a lot of rigs go back out. We've had few rigs picked up there. We're looking at a few areas for the future that we're getting a lot of calls for the PACE Rig, which some of which are in the Northeast is what we're looking for the new technology. So those margins will be anywhere from 5, 6000 may be a little more on the incremental, except the ones that we used to leverage on our new build contracts.
Kevin Simpson: Okay, that's great. That's the first I referred to the east. I don't want to -- I guess I'll just have to come back to you offline on that. But as Gene, it was one of the things that you said, you're looking at, expressing daily some frustration that we're not giving you credit for how good a job you're doing in the oil and gas business?
Eugene Isenberg: I'm ...
Kevin Simpson: I am just curious as to what your timing is for doing something to monetize it? I'm not complaining about it. It's a fact to life. All I'm saying is that we have, I think some pretty good resource, but if you look at the reserves spectacular number. We have probably 1.25 billion book value in the thing. And I think, net-net it's not helping, in fact it's probably hurting our stock price. So either that gets fixed or we do something. I can't tell you when, but it won't be forever, won't take forever to do something.
Kevin Simpson: So I'm not going to able to pin you down on this time next year or you haven't felt like you have discernable value in the stock worth its what to move those assets in someway?
Eugene Isenberg: Yeah. I think that the futures curve is half way out with that I will fix the bunch.
Kevin Simpson: Yeah, that's true. Well, we'll see about that. Okay, thanks. That's it for me.
Operator: Thank you. The next question is from Jeff Tillery from Tudor Pickering Holt Please go ahead.
Jeff Tillery: Hi good morning. I just wanted to touch on the international business where you mentioned some of the contracts were delayed and are not coming back. Is there any change in the pricing structure on those or you are able to maintain the pricing that was already agreed upon?
Eugene Isenberg: On the delayed part that you mentioned we'll change pricing structure.
Jeff Tillery: As you look at kind of 100 odd rig years in international business that worked this quarter, given that, international spans more than the half of the up income now, just wanted to see if you could talk about roll over kind of the degree to which that fully contracted 30-20-10? And just give us the feel for what sort of pricing risk there is on rigs rolling over?
Joe Hudson: We are at about the 90% right now of contracts or under contracts right now. So they are confirmed.
Jeff Tillery: The next year too?
Joe Hudson: Next year it's going down to I think 55-- 70
Eugene Isenberg: Actually that was 92% for this year, next year it would be above what 70.
Joe Hudson: About 70%.
Jeff Tillery: Thank you, that's very helpful.
Eugene Isenberg: And then the question you asked is the stuff that's likely to role over, that isn't contracted. What the price situation?
Unidentified Analyst: On the pricing situation itself as we roll over at the moment every, every customer comes to us and wants a different price and that's good. In many cases we can add some additional business to this or we reduce our cost base, we change the cost factor so net-net we really don't see as such a big impact on the whole.
Jeff Tillery: That's really helpful then. And my last question is if you looked across the business unit can you just discuss how you think about asset retirements and kind of any actions that you're taking along those lines already?
Eugene Isenberg: Well we have taken a bunch of, I don't have the exact number but in the pre-release we took as it's for example on a bunch of assets, we have bunch, a number of jack ups. That are old jack ups, that there is no -- that need capital expenditures before they go to work and there isn't visible for the next year or so, justification for spending the money, so we wrote those off. We had bunch of stuff in Alaska, bunch of rigs, components that we looked at we said there is no way that these things are going to work so we wrote them off. There is a whole bunch of things like that. I would say the bulk of the write-offs were things like that don't affect the P&L but there is no visibility that there is going to be enough activity to justify keeping them on the books and we wrote them off. That's the bulk of it. And if you look at the pre-release that sort enumerates every single category.
Jeff Tillery: And the lower 48, would you consider cutting up some of these idle rigs?
Eugene Isenberg: No, I don't. No as appropriate we'll cannibalize them. Some guy was complaining on Yahoo about a guy doing work, maintenance and repair work for us and his business was down 90% because we're using stock, in other words we're not going to buy for blow pipe for new rigs by that's essentially available for an existing rig and the rigs that are least likely to go to back to work we will cannibalize. And when they are all cannibalized we'll sell the scrap. But we're not going to add up stuffs so that supply-demand looks better.
Jeff Tillery: Okay, that's great. That's all I had. Thank you very much.
Operator: Thank you. The next question is from Dan Boyd from Goldman Sachs. Please go ahead.
Daniel Boyd: Yeah thanks. Dan this is a question for you. Just looking at the daily OpEx per rig, if you exclude the rigs that you've been paid for that aren't working. It looks like a ticked up in the quarter to something above $12,000 a day. How should we think about that training over the next couple of quarters?
Eugene Isenberg: You're talking about well 48 there?
Daniel Boyd: Yes, exactly.
Joe Hudson: One of the things that we mentioned in the press release that $15 bucks (ph) was a lump-sum termination, but 7.7 of that would have been in the quarter anyway. It's not going down that much.
Eugene Isenberg: What you are looking at in the next quarter Joe? It's about 9800, isn't it, next quarter or something like that?
Dennis Smith: Why don't we get that the way we have said earlier new rigs, not new rigs with...
Daniel Boyd: Okay.
Eugene Isenberg: That should be available tomorrow call. Call anybody but me. Call then.
Daniel Boyd: Okay. I just wanted to confirm then with the margins you are seeing in the competitive stock markets, so not where you're renegotiating where you had a new build in place. But you are seeing those at 5 to $6,000 dollars a day, and that would imply day rates and what the 16 to $18,000 range?
Eugene Isenberg: Well, firstly that market is very, very small.
Joe Hudson: Very, very small.
Eugene Isenberg: And secondly, I think the good costs are probably down to more like nine and higher than that these days. And probably going in that direction further. And what Joe said is, the legacy rigs have the di minimus margins and our rigs have, I think, probably five to six more than the legacy rigs. But yeah, there is not much of that.
Daniel Boyd: Okay. And at the end, just lastly, Gene, the market is becoming more competitive in lower 48, are you seeing any push by your customers go to turnkey or footage drilling, are you seeing that in any particular regions? And do you think...
Eugene Isenberg: It usually happens. But we're not in that at all. So, the stuff we are in, which would be, like we would like it to be, for example, the shales is, what we've brag about and there is nothing there on turnkey.
Daniel Boyd: Did you expect some of your competitors to become more willing to do that as you fight for market share you then described not a V-shaped recovery?
Eugene Isenberg: Not in the areas that we are pushing that we are totally interested in.
Joe Hudson: Normally you see that in West Texas and Mexico, Eastern New Mexico and then, Oklahoma is historically is where you see that lower Gulf Coast, and may see some turnkeys. But again, we don't compete in that market there's not a large market force there is no purpose there.
Eugene Isenberg: But, you are right directionally that will happen, except that's not a even a significant. That's not a big piece of our market.
Daniel Boyd: Okay thanks.
Operator: Thank you. The next question is from Jim Crandell from Barclays. Please go ahead.
James Crandell: Good morning. Gene, my question is a more strategic. Number one, do you see Nabors bidding more on IPMs as a main contractor in the future, given the sort of directions of the business today?
Eugene Isenberg: As I said, either be an answer, yes, or it could take a half and hour. So, I will say, yes.
James Crandell: How actively and how big a part of your strategy is it?
Eugene Isenberg: I think we don't have anything monetarily projected for us. But, I would say, probably, it's the most active single thing that the company as a whole is working on right now.
James Crandell: That's interesting. Okay. Secondly, should Iraq become very large in the next one to two years? What kind of rig capacity do you have in the region to serve that market?
Eugene Isenberg: I think better than anybody else, and we're working on that too. When those contracts have so far been sort of integrated services... turnkey actually turkey, but for the whole lot right? I have turnkey everything. So, we have the rigs. We have rigs pretty close by and we have rigs that we can upgrade and finish off in the Middle East. So rig is not the problem. Our contract with partners, that can make it workable on a turnkey/integrated service basis is the problem. Alright? Is this step worth them. But, we're pretty active in Iraq, looking at Iraq right now.
James Crandell: Okay. Gene, as you know more than probably anybody out in the industry during downturn is sometimes the best time to make investments, either investing in the business or making acquisitions. If this is what's just say a more prolonged downturn, what areas of the company would get the hardest look in terms of making acquisitions?
Eugene Isenberg: I don't know that. The important thing is I think we've fixed our financial data such that we are in a position to consider doing that if the opportunities arise. And I would say what we've typically done, we would look to do. But I don't see much opportunity there. International drilling opportunities or places where we can make the relatively small investment that can be a funnel to bring through our both suite of service or rig services. I would say, the other one probably is going to be that we're looking at is probably going to be something that would enable us better to provide integrated services.
James Crandell: If gas prices were to remain very depressed for the next 12 months, might you consider more oil and gas acquisitions going forward?
Eugene Isenberg: I don't know. We recently brought some acreage, recently probably in the last couple or three months in our joint venture in the Haynesville and probably was $60 million investment of which half of it ours. But it's really hard, because for example, if you look at the there just want to be shales, which and we are all excited about. Even if you look at the future curves, the way it is now. And of course that could change too. You don't get rich very quick, and there is, we've had to put our pads to do pad drilling. We got to put up a pipeline to get from our field to the big pipeline and we are still, we and the industry. And we are exchanging, we're pretty big players, and we're exchanging information with many probably, not Exxon, but almost everybody else in the industry. So we're still experimenting what kind of fracs we do. For example, we've done, what have we eight fracs. And I saw a report recently Apache doing 12 or 14. So there is a whole bunch of its unbelievably good. Its better then the blind. It's probably the best for us in the shales, for guys that are we've seen, not that I am an expert. But, we've seen. But the economics are just as good as that is, the economics of that frac. For example, it's like a buck in a quarter, from the price there to the Henry Hub. I think that's good one.
Joe Hudson: Yes.
Eugene Isenberg: And so it's just tough that gas pays. I won't go through my normal speech. But I think gas prices are abnormally uneconomically sustainably low. But what I think and what the market is and so it's the same thing. So we've done it. We conceivably could do it. I'm not sure we would.
James Crandell: Thank you, Gene.
Eugene Isenberg: Operator, we'll just have one more question and cut it off after that.
Operator: Thank you very much. The next question is from Waqar Syed from Tristone Capital. Please go ahead.
Waqar Syed: Good morning, Gene. A couple of questions. First, do you have maybe a rough idea of what the size of the reserve basis in the oil and gas business?
Eugene Isenberg: Yes, if I tell to you, you'll be shocked. But it's really big. We have probably 75% of 4.5 T's in the British Columbia shales alone. And Horn River along, isn't it. There is Horn River along. I would say, in that, which is our joint venture with First Reserve domestically, it has about 3.5 T's or?
Joe Hudson: At least two.
Eugene Isenberg: I see 2, 2.5 T's there. And you know and we have oil in Columbia. How much do you have in our own stuff?
Joe Hudson: About 8 million barrels. We one in Columbia.
Eugene Isenberg: Reserves.
Joe Hudson: In reserves. And that's about 8 million barrels.
Eugene Isenberg: 8 million.
Joe Hudson: 8 million barrels, you have, too much for it.
Eugene Isenberg: Yeah. It's quite a bit. The T's for example in British Columbia are super sexy and attractive and everything. But when you went through the economics of the t is one thing and the ability to make money is another thing.
Waqar Syed: Okay. Then secondly...
Eugene Isenberg: That isn't unique to us either. That's the whole world right now in gas.
Waqar Syed: Yeah. Secondly, you mentioned in terms of acquisition or expansion into credit services with the drilling. Could you elaborate on that? What exactly you mean by that, if you could point out the few specific areas?
Eugene Isenberg: We are trying to buy Schlumberger. No, I'm kidding. If I knew I wouldn't tell you, look at that stuff.
Waqar Syed: Okay. Could you give us a final number for CapEx for this year and next?
Joe Hudson: Yeah I would say, this year modestly above a billion.
Eugene Isenberg: But I mean, if something comes up. If we have of a three, four year pay out project for $100 million, we will bloody do it. But I'm saying what our current plans are based on the activities that we now see, modestly above a billion, under 1.1 billion and I would say, way below that next year. If again, if there is an opportunity that comes up we will pursue it. We have financing lined up that we haven't used and if we have, we're not going to pass up a three-four year solid payout stuff that leaves with workable assets after the initial contract, because of cash flow. I mean, if cash flow is -- I mean CapEx is one thing and how you put the money to work, how you put the CapEx to work is another thing. And it's flexible in that context. But the way we're projecting it now, little over 1 billion this year and probably under a half a billion for next year.
Waqar Syed: Okay. And Gene, as you look at Nabors it a fairly, well diversified company. Are there any businesses that you think are non-core or you may not be in the next couple of years?
Eugene Isenberg: Yeah.
Waqar Syed: Any elaboration on that?
Eugene Isenberg: I think, let me -- the elaboration would be that this isn't the time to sell stuff.
Waqar Syed: Sure.
Eugene Isenberg: And secondly the things that I would consider non-core are things that we really have to improve the operations, whether it is good times or bad times before surely there are many of those. I'll say there are some obviously non-core businesses that are small, for example the construction businesses we have in number of places, particularly Alaska, long term probably aren't core but there are no immediate plans to sell them. And there aren't many of those, so may be one of our small business units. So it's non-core, things got better and we improve better and we have an opportunity to sell, we might monetize at appropriate time at a good price we'll consider it. And also the -- in we've always looked at E&P in terms of to make money, to do thing. And it's more economic to sell something at a point in time then your projected present ideas can constrain your selling. That's always the case. But that isn't the current problem.
Waqar Syed: Sure. And just finally, DD&A guidance, on DD&A numbers for second half?
Eugene Isenberg: I didn't get the question.
Waqar Syed: Depreciation, could you provide any guidance for third quarter depreciation?
Eugene Isenberg: In the year we are looking at around seven, that makes it 6.80, plus it going to around 24 million it's going to be. The difference is depreciation. About 178 a quarter.
Waqar Syed: 178 a quarter. Okay, great. Well, thank you very much. Have a great day.
Eugene Isenberg: Thanks.
Dennis Smith: Operator, that winds up our call today. We want to thank everybody for participating. And if you have any questions to get answered, feel free to give us a call. Thanks.
Operator: Thank you. This does indeed conclude the conference call. You may now disconnect.